Operator: Good afternoon, ladies and gentlemen, thank you for standing-by. Welcome to the Sherritt International Corporation's Fourth Quarter 2014 Results Release Conference Call and Webcast. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. I'd like to remind everyone that this conference call is being recorded today, Thursday, February 12, 2015 at 2:00 PM Eastern Time. I will now turn the presentation over to Sean McCaughan, Vice President of Investor Relations and Communications. Please go ahead.
Sean McCaughan : Thank you. Good afternoon, everyone. Welcome to the Sherritt International Corporation fourth quarter 2014 and year-end 2014 results conference call. Our results were released earlier this morning and a copy of the press release along with the MD&A and full financial statements, are available on our website at www.sherritt.com. Also available on the website is an accompanying presentation on the quarterly results that we will refer to during this call. Today's conference call is being webcast. So in addition to those on the line, anyone may listen to the call by accessing our website homepage and clicking on the webcast link. A replay of the webcast will be available on our website later today. Before we begin our comments, I'd like to remind everyone that today's press release and certain of our comments on the call will include forward-looking statements. We'd like to refer everyone to the cautionary language included in our press release and to the risk factors described in our SEDAR filings. On the call with us today is David Pathe, our President and Chief Executive Officer and Dean Chambers, our Executive Vice President and Chief Financial Officer. We will begin with a review of the results for the quarter and year and then move into a Q&A session to address any questions you might have. And with that, I’ll now turn the call over to David.
David Pathe : All right, well, thanks, Sean, and thank you everybody for joining us this afternoon on what I know is a busy earnings day. So today we’re here to talk about the fourth quarter and our year-end results. This year we made solid progress against our stated strategic priorities positioning us on both financially and operationally refer the growth in 2015. At the start of the year we articulated a strategy to focus on nickel and sold our coal business, since then we’ve been diligently focusing on our key priorities that are designed to grow production and position us well heading in 2015. From a business perspective, we had record nickel production in our metals operation with the combined increase of 17% for the full year. During the second half of the year, we result operational process issues in Ambatovy which enabled production to achieve our guidance forecast. We made progress on the objective of extending the life of our Cuban oil and gas business by obtaining an extension to one production sharing contract and signing two new PSCs. And in our power business, we had a very strong year with production increasing 44% and cost decreasing by 31% as a result of our new Boca Combined Cycle Project starting operation. Looking back at the full year, our business showed marked improvements in revenue, adjusted EBITDA and adjusted operating cash flow for the year. Combined revenue increase by 45% to $1.1 billion, adjusted EBITDA increased by 17% to 253 million and adjusted continuing operating cash flow increased by 62% to 75 million or $0.25 per share. We also took proactive steps to strengthen our balance sheet, proactively managing our maturity profile and reducing debt by $790 million. Dean will speak a few more to some of these financial highlights a little later. Moving on to slide 5 for those that are following on our presentation I would like to touch now on our nickel operations performed during the quarter beginning with Ambatovy. Ambatovy clearly had a strong quarter with all our average ore throughput at 74% versus 66% in Q3 and autoclave operating hours increasing 7% to almost 7,500 demonstrating the improved performance of the downstream circuits and the increased reliability of the autoclave that we've seen since the second quarter of 2014. Metallurgical recoveries in Q4 were consistent with Q3 at about 87%. Record nickel production of nearly 10,000 tons during the fourth quarter represented a 47% increase from the previous year and an increase of 6% over the third quarter. For the year Ambatovy produced 37,000 tons of finished nickel, which was within our guidance range. With the pullback in nickel prices in the fourth quarter, adjusted EBITDA Ambatovy was negative 7.5 million for the quarter and negative 5.5 million for the full year 2014. Our team on the ground delivered results in resolving process control issues in the CCD and raw nickel neutralization circuits by applying our technical knowhow as well as making modifications to the process. We also made a conscious decision to bring forward a large amount of maintenance activity to the fourth quarter to position Ambatovy for a long period of time in 2015 without any major maintenance allowing us to clear the runway to target our financial completion test. And as we announced last week, January's nickel production at 92% of capacity is demonstrating the effectiveness of these actions. This is a very positive development for Sherritt and positions us well in our path to 90% of production for 90 days. Right now we are about 60 days into our run up production of approximately that 90% rate. Finished nickel production as a percentage of capacity lagged or throughout as a percentage of capacity due to a number of factors including temporary mix oil applied inventory accumulation downstream from the PAL, lower ore grades and lower overall metallurgical recoveries and [indiscernible]. Continuous improvement in the metallurgical process is expected to gradually increase overall metallurgical recoveries. We've also successfully completed the construction of the second ore thickener on time and on budget. This new thickener is at the front end of the plant and its purpose is to increase our percentage of solids [indiscernible] to the autoclaves. The addition of the second thickener will increase underflow entities in the autoclaves enabling higher throughput. On to page 7 now, I expect our C1 cash cost in 2015 to come in the $4 to $6 range based on our production guidance that I'll touch on a little later in the call that's consistent with our range and cost significance that we've had there for some time now. As 2015 progresses with more months under our belt similar to January success, our focus on 2015 will transition from ramp up to a steady state mindset focused on operational efficiency. Given the fixed cost nature of this operation, the long reserve life and our operational success in 2014 we continue to have every expectation that Ambatovy will be the long life, low cost source of operational cash flow we've always believed it will be. Moving on to Moa, Moa performed steadily again this quarter. We reported lower net direct cash cost in the fourth quarter compared to the third quarter, $4.44 per pound mainly due to higher by-product credits and lower mining and processing refining cost. Production for the year, which is slightly less than last year mostly due to the timing of mix oil prices of shipments from Cuba to Fort Saskatchewan and the availability of third party seat. The operation reported adjusted EBITDA of $21 million in the quarter which was an increase of 138% from the fourth quarter of 2013. Our Acid plant investment to lower cost remains a key priority for us going into this year, we're still on track to start construction this quarter and we recently execute a construction contract in Moa and are making progress on procurement. Over the slide 9, I wouldn't mind just touching on a few things that we're seeing in nickel markets as we move into 2015. Over the past quarter we've seen softer pricing was a decline in pricing in the fourth quarter 12% compared to Q3. Nickel prices remained under pressure as LME inventories continue to climb fuelled by strong supply and the destocking from China. The strengthening of the U.S. dollar in the fourth quarter also contributed to the decrease in nickel prices, which impacted ore commodities. The nickel market supply deficit didn't materialize in 2014 as anticipated by some in the industry but we are beginning to see that happen over the course of 2015 largely driven by the continued ban on Indonesian ore exports and a limited supply of new projects. Consensus forecast are for higher nickel prices in 2015 given anticipation of that supply deficit forming. Moving over to our oil and gas business on slide 10, in 2014 we were successful in taking critical steps towards the extending the life of our oil business in Cuba. In December, we secured two new production sharing contracts together with an agreement to extend an existing PSC earlier in the year. Sherritt closed the year with three new agreements. The new PSCs obtained in December are known as Blocks 8A and 10 and are located east of Havana. They encompass areas of 967 square kilometers and 261 square kilometers respectively. The new PSCs have a 25-year term and include commitments which primarily involve the reprocessing of existing seismic data and acquire new seismic data within two-year period. After the completion of the valuation of the seismic work Sherritt has the option to continue the exploration or relinquish the PSCs. Finally, we also wait approval on two more PSCs. We reported a decrease in gross working interest volumes by about 5% in the quarter averaging just over 18,700 barrels of oil per day. This was mainly due to mechanical failure in Yumuri well that we mentioned in the third quarter. After the work overs did not yield desired results the well was subsequently shut in during the quarter. The loss of production from this well accounted for a decrease of about 560 barrels of oil per day in the fourth quarter and 400 barrels a day for the year 2014. Operating cost in the Cuban oil business were higher at about 994 barrel up from 751 in the prior year period. The major component of the increase is about $1.16 per barrel and increased work over cost relating to that Yumuri well. The two other large drivers of the cost in rising [cost] for the U.S., Canadian dollar exchange rate and the impact of lower production with fixed cost being spread across a lower number of [gross some] barrels. Excluding these items for the quarter and the year the cost were up a little over 4%. Because of our low cost structure, our business still produced the positive margins and positive cash flow in the current oil price environment. In 2014, we also celebrated producing our 200 millionth barrel of oil since we started operations in Cuba over 20 years ago. With respect to drilling activities, we completed drilling of three wells in the fourth quarter and a total of six development wells per quarter completed over the course of 2014 and all are currently in production. We also commenced drilling on two additional wells in the fourth quarter that should start producing this quarter. In total for 2015, we plan to complete 10 wells primarily in the area covered by our recent extension. Moving to our power business on slide 11, our quarterly results continue to improve due to higher production. Production increased 47% during the quarter compared to the prior year period again primarily due to the bringing online of our new Phase A combined cycle facility and we’re accompanied by a 10% reduction in unit operating cost. These factors led to seeing adjusted EBITDA 5 million in the fourth quarter compared to a loss of 3 million in the same time last year. We reported significant improvements in adjusted EBITDA in 2014 at 25 million compared to slightly negative adjusted EBITDA in 2014. That covers what I wanted to talk about from an operational perspective. Dean is now going to make a few comments on financial results and then we’ll come back to take a look at 2015.
Dean Chambers: Thank you, David and good afternoon. Since the equity account from Moa and Ambatovy items such as revenue and cost of sales or income statement only reflect the performance of our energy business in the Corporate segment. We therefore use a number of non-GAAP adjusted measures to reflect the performance of our businesses on a consolidated basis including Ambatovy and Moa. The slide on page 13 of your presentation showed some of these measures including combined revenue, adjusted EBITDA and adjusted earnings from continuing operations. We’ve introduced the metric combined revenue to assist readers in getting a better sense of our revenue across all of our divisions. Adjusted EBITDA and adjusted earnings include a proportionate share from all of our operations and exclude impairment. Combined revenue increased by 47% in the fourth quarter and by 45% for the year. Metals and power businesses accounted for most of this increase. 2014 is the first year we are including revenue from Ambatovy since achieving commercial production last January. Adjusted EBITDA decreased by 27% in the fourth quarter to $31 million, largely due to weakening oil prices. For the year adjusted EBITDA increased by 17% to 253 million led by the metals business that increased by 26% in the power business where adjusted EBITDA contributed almost $25 million. Adjusted operating cash flow per share improved to negative $0.08 from negative $0.15, for the year adjusted operating cash flow per share was $0.25 versus $0.16 in the previous year, an increase of 56%. When you look at adjusted earnings from continuing operations per share, you can really see the impact of including Ambatovy’s earnings beginning last February. For full year 2014 these adjusted earnings declined to negative $0.83 per share compared to negative $0.22 in 2013, of course 2013 results do not include Ambatovy. A reminder that Ambatovy earnings are heavily affected by large depreciation and amortization charges which totalled over $380 million in 2014 on a 100% basis. We are in a much stronger financial position heading into 2015, largely due to the steps we took to improve our balance sheet, debt was reduced substantially to 1.9 billion from $2.5 billion as a decrease of 25% this is through our comprehensive debt refinancing we executed in the fall. Our debt to capital ratio has declined 15% from the year ago to 38%. Our debt to capital ratio has declined 15% from the year ago to 38%. Our cash balances at December 31st, were $476 million, reflecting the use of cash in the fourth quarter to reduce debt while maintaining substantial liquidity. Now taking a look at our fourth quarter earnings on slide -- on page 14, this slide explains the reconciliation of a third quarter net loss through to the fourth quarter net loss figure, we then show what the adjusted net loss figure is for the fourth quarter when excluding adjusting items. Our fourth quarter net loss of $148 million was negatively affected by lower oil and gas prices, partly offset by lower taxable earnings in this business. Lower earnings from lower Ambatovy due to lower realized prices. Now there were several one-time non-recurring expenses totalling $68 million after tax including the following items; debenture refinancing fees of $34 million, as we discussed on our third quarter call these are just tender and consent fees and the premium to call the 2015 issue are reflected in this quarter. Oil and gas impairments including about $12 million relating to a decision to discontinue exploration activities in UK mostly and Spain warranty, as well as additional amounts for obsolete inventory and other assets. As mentioned on our third quarter call, restructuring expenses of $8.5 million related to our staff reductions have been recognized in this quarter, which removes the gain from arbitration of $13 million and effected the third quarter earnings and there are miscellaneous other items netting to a total of almost $7 million. This results in the Q4 net loss of $148 million compared to a net loss of $51 million in the third quarter. Now if we exclude the one-time non-recurring expenses of $68 million, our Q4 adjusted net loss is 80 million or $0.27 per share. Now there are few other items that I would like to mention; the first item is foreign exchange given the recent decline in the value of the Canadian dollar, I thought it would be useful to review the corporation sensitivity to the Canadian dollar exchange rate. A weaker Canadian dollar is a net negative for Sherritt's earnings. Our foreign exchange sensitivity comes from both transaction and translation process, for example, since we sell commodities based on U.S. dollar prices, a decline in the Canadian dollar results in higher revenue and cash flow in Canadian dollar terms. With respect to translation foreign exchange gains or losses result from revaluing U.S. dollar denominated assets and liabilities at the current exchange rate. Sherritt has more U.S. dollar denominated liabilities than assets. As a result, decline in the Canadian dollar results in a non-cash foreign exchange translation loss. If you look at the sensitivity table contained in our MD&A, you will see that our sensitivity based on continuing operations for 2014 for a $0.05 change in the Canadian dollar exchange rate is a $10 million impact on annual net earnings. This sensitivity combines the impact of both transaction and translation and this is consistent with the $15 million foreign exchange loss reflected in net financing expense for 2014. I would expect our earnings sensitivity in 2015 to be somewhat lower partly due to the higher Ambatovy production. The other item I would like to discuss is tax. I know that tax is complicated and confusing, especially with the multiple jurisdictions in which we operate and the way we account for our joint venture. Let's break it down into its component parts for 2014; first, the income tax expense line on our earnings statement includes tax expense at corporate, oil and gas and power. Corporate incurred losses because most of the financing is done in this segment and we do not set up a deferred tax asset for these losses. As a result, the corporate impact on income tax expense is minimal. Power primarily due to its relative sides is immaterial. As a result, the income tax expense for 2014 of 45.4 million primarily represents taxes related to oil and gas. In oil and gas taxes were impacted by non-deductible foreign exchange losses and impairment that were not deductible. Next earnings from Ambatovy in the Moa joint venture are only earnings statement on an after tax basis. The tax rate for the lower JV might be expected to be in a range of say 35% to 40% given the tax rates in Canada and Cuba. However in 2014, the effective tax rate is much higher because of losses incurred in a non-tax jurisdiction for which a tax recovery cannot be set up as well as other non-deductible items for tax purposes. Lastly I would like to make a few comments on what I see for 2015, one obvious question is the expectation for funding of Ambatovy. We do expect funding levels to decline from 2014, but despite increased production forecast and the corresponding reduction in net direct cash cost, funding from share is likely in the range of $50 million to $100 million depending on commodity prices. A reminder that partner funding of the project is affected in 2015 by the continued amortization of the senior debt by U.S. a $190 million and the required funding of the senior debt reserve account at financial completion of U.S. $120 million. They are working as our partners on a number of initiatives to mitigate funding requirement if the nickel price remains at current low levels. Now also look at our leverage to things like the nickel price and oil price. Based on our production guidance for the year, a US$1 movement in the nickel price per pound is worth of approximately CAD100 million annually to Sherritt. In terms of earnings, I will expect continued losses in 2015 especially if nickel and oil prices remained at current levels. As we've discussed previously Ambatovy depreciation and amortization is expected to [press our] earnings by more than $150 million per year. Lastly, we completed the sale of our Toronto head office and this will result in a gain of approximately $19 million booked in the first quarter. I will now turn the call back over to David.
David Pathe: All right, thanks Dean. So, in summary you've heard from us today and throughout the year on our progress. We've got greater focus to Sherritt in our strategic direction and we've made progress on a number of fronts. We've focused the business on what Sherritt was built on, our nickel business. This includes the selling of our coal business in early 2014 and we are now focused on being a low cost nickel producer. Ambatovy achieved guidance, saw process control issues and is off to a good start in 2015 with January production at the highest levels ever achieved. We extended the life of our Cuban energy business through the extension of one existing PSC and the signing of two new exploration blocks. And we've reduced the leverage in our balance sheet, proactively manage our maturity profile and maintained a strong cash position despite low commodity prices. Moving on to 2015 let me make a few comments on our 2015 guidance. With the increased nickel production in our metals businesses particularly from further increases in Ambatovy and slightly higher production at Moa compared to 2014. At the midpoint of our guidance, this represents an 18% increase in our nickel production confirming our position as the significant global nickel producer. Oil and gas production is modestly estimated at level similar to 2014; however we may see some potential to come in above this figure as we achieve success on the drilling underway this year. On slide 18, you will see our capital guidance for 2015. This year you'll note that we've plan to capital 231 million includes capital above 2014's levels largely for the Moa joint venture and for our oil business. We are seeing a transition in capital away from Ambatovy over to these operations. In the Moa joint venture our sustaining capital of 60 million is planned at a higher rate in 2014, do impart to purchasing a mobile equipment Moa based and the life span of current equipment and some impact from increased haul distances. Sustaining capital increases also related to several maintenance projects required at the refinery in Fort Saskatchewan. We are also planning 20 million of capital spending for the Acid plant which you may recall as to be financed by Cuban Financial Institution. In the oil business we planned to invest in drilling primarily to build long term production. With our current PSCs expiring 2017 and 2018, we have work to do to perpetuate our business in Cuba and intend to have two drilling rigs working this year; support equipment for that higher level of drilling is also included in this forecast. Taking into account the current oil price environment, our guidance remains at approximately 107 million for this business. We will balance the future projection of objectives for post 2018 with cash flow requirements for 2015 based on commodity prices. On slide 19, in 2015 we will build upon our success in 2014, our priorities for 2015 are incremental increases and production at Moa while also reducing our future cost by making progressing on the new acid plant continuing the successful ramp up production at Ambatovy to achieve the production rate of 90% of nameplate capacity for 90 days. We will continue to extend the life of our Cuban energy business through drilling in our extended PSC area and we also had two new exploration PSCs in Cuba. You've also heard a lot recently from us and our balance sheet; this is a theme for us every year. In this commodity price environment we'll strive to maintain our improved balance sheet and continue to look for ways to run our business more efficiently and continually review our spending plans in light of prevailing commodity prices. I'm optimistic about what lies ahead for us this year with Ambatovy now further up the ramp up curve and the progress we're making on our other business priorities. We look forward to updating you throughout the year on our progress. With that operator, we will come back to you and take any questions that are out there.
Operator: [Operator Instructions] Your first question today will come from Orest Wowkodaw with Scotia Bank. Please go ahead.
Orest Wowkodaw : Hi, good afternoon, my question is around Ambatovy. Did I hear at the beginning you said that you are now 60 days into the 90 day requirement for the completion test?
David Pathe : At the moment that’s where we are, Orest, we're almost 60 days beginning in mid-December and we came out of our maintenance shutdown of the refinery, since then we’ve been running at about 90% production rate for finished nickel.
Orest Wowkodaw : And do you think you can maintain that during the autoclave schedule maintenance that’s this month?
David Pathe : Because of the success we’ve had there, we’ve actually adjusted the timing of that February autoclave shut down, you are right that four of the five were there, the maintenance turnarounds in the third and fourth quarter. We have one more to do that we originally are going to start in late January that we postponed until early February. We’ve now based on the run that we’re on at the moment pushed that off until late February on the basis that they’re to sustain the run at the moment.
Orest Wowkodaw : Okay. So you might be able to keep it going until you meet the completion task.
David Pathe : That’s what we’re working at the moment.
Orest Wowkodaw : Okay. And in terms of, did I hear you say, and I apologize if I misheard you that you expect cash cost at Ambatovy at $4 to $6 this year?
David Pathe : That’s the same guidance we’ve had for a while, but that’s assuming that on a 90% level of production through the range, that’s the range we’ve given for the last year and half or so at that level of production.
Orest Wowkodaw : Okay. Bust based on your actual guidance for Ambatovy production this year, I mean that would be below 90% in terms of your implied guidance. So we would expect then cost to be above that range in 2015, correct?
David Pathe : Depending on how exactly it plays out I think if we produce what we think we can there in that range we should be able to get into that range, as you know it moves around depending on the input commodity prices and the cobalt price and those sorts of things but that’s what we think we can do.
Orest Wowkodaw : Okay. Then finally that 50 million to 100 million funding requirements for Ambatovy that’s lower than I would have thought, what nickel price is baked into that estimate?
Dean Chambers: One of the reasons I gave a range because there really is a wide variety of factors here including nickel price but we’ve looked at a variety of scenarios and I’m pretty comfortable at this point that it would be in the range.
Orest Wowkodaw : Okay. But in terms of say the high end 100 million, how low the nickel prices are allowed to?
Dean Chambers: 100 million is kind of around current levels.
Orest Wowkodaw : Current levels, okay. Thank you very much.
Operator: Thank you. Your next question will come from Raymond Goldie with Salman Partners. Please go ahead.
Raymond Goldie: Thank you and good afternoon. My first question would be following on from Orest’s question, wondering if EBITDA at Ambatovy was positive in January.
David Pathe : January we obviously had a good month, costs net direct and we had a good month from a net direct cash cost perspective but as you get in to shorter and shorter periods the cost numbers bounce around just based on timing of payments and timing of maintenance. So we’ll give you an update in Q1, but even at spot nickel prices at this level of production I would hope that we can be producing positive EBITDA at Ambatovy at this stage.
Raymond Goldie: Thanks. And second question also on Ambatovy is that, it looks as if you’re going to be able to live up to pre-production estimates of our nickel production this year and following years but what about cobalt?
David Pathe : So our cobalt guidance is there as well -- because it’s all part of the same process as go with our nickel production as our cobalt production. The ranges that we produced are consistent with the levels of nickel production that we gave you there and if we can sustain the production run on nickel at Ambatovy the cobalt should be there as well.
Raymond Goldie: I guess my modelling might have been a bit too optimistic on that cobalt because I expected that level of nickel production to currently be higher than cobalt production. So beyond 2015 what’s the sustainable level of production of cobalt?
David Pathe : The cobalt numbers are marginally lower per nickel unit at Ambatovy than they are at Moa for the next couple of years. I mean one of the things that we’re actually looking at out now is ways of toping up the cobalt stream in the refinery with some third party feet at Ambatovy so we’ll be looking at opportunities to do that. But the numbers you’ve got there for our 2015 guidance are a function of the grades that we expect to be seen fed into the plant this year.
Operator: Thank you. Your next question will come from Greg Barnes with TD Securities. Please go ahead.
Greg Barnes: Thank you. Dean you mentioned in your comments that your discussions with the partners about finding some other funding mechanism if the nickel price continues at this level, what exactly you’re talking about?
Dean Chambers: There is a wide range of things, everything from -- there is some capital that could be further doesn’t have an influence on the ramp up ways that nickel is sold to the partners and a number things like that.
Greg Barnes: But you're not looking at additional debt facilities provided by them to you?
Dean Chambers: No.
Greg Barnes: Secondly, the addition of the thickener at the front end of the plant, you talked about that having the potential to increase throughput, what are we talking about potentially there in terms of percentage increase or what have you?
David Pathe : Yes, so the thickener we’ve had up and running in January and the second thickener we build is a bit different in design from the thickener that was part of the project itself it's got higher walls and more robust rates and deeper tones and deeper different injection mechanisms. So, we’re running off of that in January, for at least part of January and we saw under flow densities come up I think to say 2% to 3%. What we are still working on and where we’re hoping we’ll get another potential percent out of it is getting to the point where we’re running both thickeners in parallel and increasing the retention times in the thickeners, most of the gain we’ve had so far is just moving from one to the other, there is a bit of calibration to be done since they are not identical thickeners to get the two working in parallel but we think there is a bit more upside there.
Greg Barnes: So the better run you’ve had is probably responsible because you're using the new thickener rather than the old thickener, right?
David Pathe : Right.
Operator: Thank you. Your next question will come from Cliff Hale-Sanders with Cormark. Please go ahead.
Cliff Hale-Sanders: Hi, good afternoon everyone, two questions, first on Ambatovy. I just want to make sure that we’re all on same page here. Based on what you said to Orest, your 60 days into 90 day test. So assuming all things go well and you passed your 90 day test sometime in late March and you passed the other outstanding test components or sometime early in Q2, what does that actually mean from a financial cash call position to Sherritt going forward, obviously the principal [indiscernible] payments is non-recourse but if you could just review the actual ins and outs about how that plays out and then I have a follow-on question.
David Pathe : So, the significance for everybody’s benefit of this 90 for 90 test which is running the plant at 90% of nameplate capacity for 90 days that’s one of total of 10 tests that need to be satisfied for the project financing to go non-recourse, there is already a number of tests leading to the mine, the pipeline, the plant site and the marketing test and the likelihood have already been satisfied and we’ve still got the production and efficiency tests, environmental certificate and legal test to be satisfied that we’re working on right now. Assuming all of those come together between now and the end of September the effective -- the cumulative effect of that is that the partners pro-rata guarantees of that originally $2.1 billion financing which we see is to finance the construction of Ambatovy fall away the project itself [indiscernible] with respect to -- is the obligation to continue the amortization schedule for the debt repayment. Assuming if all of those continues to go well in Ambatovy and we get that production test done there will but a process to be gone through with the lenders independent engineers that goes down to the plant site every quarter and they are scheduled to be back there in April and they will be reviewing data and ideally will be looking to have them sign up on these in that process of going through that with engineers and lawyers and signing off the test is what we’re working on through the first nine months of this year.
Cliff Hale-Sanders: I guess just on that it does not change the actual funding requirement from Sherritt?
David Pathe : It doesn’t change the funding requirement, but it does cause the completion guarantees to fall away and you recall those are -- there are completion guarantees are all covered by cost guarantees and [indiscernible] from our partners that are limited recourse to us.
Cliff Hale-Sanders: Okay just want to make sure that everyone is clear on that. And then second one is more on the oil and gas base, obviously there is fairly large uptick in capital spending there as you got the new production sharing agreements in place. Just wondering if oil prices stay where they are would you still expect to spend this much money and what sort of flexibility do you have to not impact those potential new licensees?
David Pathe : We have some flexibility, but our plan right now is [indiscernible] two drilling rigs and we started up the second rig in sort of mid-2014 after we got that extension signed up. Our intention is to have those rigs, both rigs going all year and then there is some associated cost of that and that’s where most of that capital goes. We have some flexibility to adjust the timing of some of those, but even with the current oil prices the business is still producing sufficient cash flow to fund that and so at the moment we are keen to make progress on those, we will see how the overall corporate balance sheet looks and our liquidity position as both function of the oil price and the nickel price over the course of the year and to make sure we’re making the right decisions with respect to short-term liquidity and the longer-term oil production profile.
Operator: Thank you. [Operator Instructions] And we seem to have no further questions at this time. I'll turn the call back over to management for any closing comments.
Sean McCaughan: Thank you, Operator. We look forward to speaking to you again this April with the release of our first quarter 2015 results. I'd like to thank everyone for participating in the call today. And please feel free to contact us with any follow-up questions. And with that, thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.